Rene Hoffmann: Thank you, Alexandra, and welcome to our earnings call for the First Quarter of 2019. Your hosts today are once again CEO, Rolf Buch; and CFO, Helene von Roeder. The three of us are gathered here in the conference room in Bochum, of course, mindful of social distancing.  I assume you've all had a chance to download the Q1 presentation. In case you have not please go to our website, and you'll find it under Latest Publications.  Rolf and Helene will lead through this results presentation on the basis of the agenda on Page 3 of that presentation and of course we'll be happy to answer your questions afterward. So let's get right to it. And let me hand you over to Rolf.
Rolf Buch: Thank you very much, Rene, and also a warm welcome from my side. We had a good start in this year as expected and as borrowing as all of quarters. Organic rent growth was up 3.9% year-on-year for all four segments, and all four segments contributed to EBITDA total growth which in total was EUR456 million. This is 6.1% more compared to Q1 last year. FFO increased by 10.5% to EUR335 million on a per share basis group FFO was up by 5.1%.  There was no portfolio evaluation in Q1 as always, so adjusted net asset value per share did not move much and is up 0.6% to EUR52.23. We plan as normal the next portfolio evaluation at the end of Q2 market observation suggests that there is no material COVID-19 impact in our asset class, and assuming that trend continues, we respect a fair value cost probably inline this H1 last year. Of course, except for Berlin, where prices have remained flat, this should not come as a surprise given the unresolved situation with the rent freeze not firmly in place. If we ignore the Berlin effect, the total fair value growth for the rest on H2 is expected to be broadly similar to H1 2019 in local currency. As per March 31, our LTV was 43% and our debt-to-EBIT multiple was 11.8%. You will all have seen our new AGM date of June 30. We do not expect to see substantial easing of corona restriction until then, so the meeting will most likely be a virtual one. We have tried to do it in physical but I think it is most likely that will be better. To be very clear our dividend proposal of EUR1.57 remains unchanged.  And finally the guidance for this year. We have done a thorough bottom-up forecast based on an all what we know and we are very confident that we will be able to achieve our original guidance, including EBITDA and FFO is an exception. This because of lower fluctuation and because of delayed completion of some investment project we now expect our organic rental growth to be around 3.3% to 3.8%.  The delayed completion is obviously a timing issue, and some fluctuation will be probably pick-up again after corona, so the decline in rental growth should be temporary. And with this I hand over to Helene.
Helene von Roeder : Thank you, Rolf. Q1 was pretty uneventful, and we think that is a good thing in our business. Especially these days. Our portfolio was 5% larger in terms of units and that resulted from 6.1% adjusted EBITDA total growth, and 10.5% group FFO growth, because of the higher number of shares, the group FFO per share was up 5.1%. So let's talk about the individual segments and start with the rental segment on Page 6. Rental income increased by about 12%, predominantly including resulting from Hembla and also organic rental growth. Maintenance expenses were EUR79 million, which is in line with our expectation and not a bad proxy going forward. Operating expenses are impacted primarily by two things. The first is obviously Hembla. As you know, we are in the process of putting the operations of Victoria Park and Hembla together, but at this point we still have dual functions for most positions and the synergies will only start coming through later in the year. The second reason is one that you will be familiar with at this point. The Swedish rents include ancillary expenses, so we have to show them both in rental income and in operating expenses and that impact is even bigger now because of Hembla. It is obvious that in terms of costs, we remain on the right track, if you look at our operations margin in Germany, which has increased to 78.2%, to those of you who compare this across the peer group, please bear in mind the very different maintenance levels.  Page 7 shows the main operating KPIs for the rental segment. Organic rent growth was 3.9% year-on-year of which 1% came from the market, 2.3% from modernization and 0.6% from new construction. They can see it remains very uneventful at a low 2.8%. Maintenance expenses were in line with last year. Capitalized maintenance were higher than last year as expected because we have budgeted and planned for a number of targeted larger scale measures this year. And with that back to Rolf.
Rolf Buch: So then let's move to Value-add segment on Page 8. So adjusted EBITDA came out at EUR77.2 million and was almost 4% higher than last year. As I'm sure you know by now this business does not change much from one quarter to the next and just more steadily going in addition to our rental business. While we are continuing to roll out our values – value-add strategy to a bigger part of the portfolio, we did have a decline in our external income Q1 this year. Part of that line item is a residential environment service, you also see on the right hand side. Because of the extremely mild winter and the absence of snow during the whole year, we had hardly any turnover from snow removal and de-icing off sidewalks. So this explains the deviation. On Page 9, we show the result of the recurring sales segment. We sold 760 individual apartments for cost per seat of Hembla EUR8.6 million, average sales applies increased by 6% year-on-year. The fair value step up was Southeast 6.8 on average and in line with the prior year periods in spite of a higher basis due to revaluation. All in all recurring sales contributed EUR26.4 million of adjusted EBITDA. As a side note, outside the this recurring sales segment we sold almost 287 non-core units in the first quarter with the fair value step up of close to 36%. To us, this is always a good indicator for unbroken strong demand through Q1 also included a disposal of a commercial unit. Back to Helene.
Helene von Roeder: And finally our Development segment on Page 10. The segment includes all new constructions of apartments by way of entirely new buildings. So excluding additional floors on existing buildings. The distinguish between development to sell and development to hold for our own portfolio. The bottom-line adjusted EBITDA was EUR11.4 million in Q1 2020, this part of our business is less linear than the Rental or the Value-add business, so one quarter can be a bit different from another one as you can see in this very quarter. The volume for to sell and to hold was down, which impacted both the top-line and the operating expense. The operating expenses were further positively impacted by the reversal of provisions that are no longer needed. The EBITDA was EUR11.4 million and probably comparatively low based on what we expect for the remainder of the year. Page 11 has more color on our new construction activities. We completed 122 apartments to hold for our own portfolio in the first quarter and no apartments to sell. But we already saw on the previous page that Q1 2020 was a slow quarter for our development activities. In our construction to hold, we now have identified potential for around 41,000 apartments based on the opportunities in our portfolio today. For 2020, we expect to deliver around 1,300 apartments. The development itself has a useful addition to the to hold developments. As I've explained before, we often rely on the higher margin from to sell project to cross finance the land costs and make the total development more economically feasible. The pipeline for to sell is approximately 8,500 apartments. Our target for this year is to complete more than 300 apartments to sell. With that onto Slide 12 the adjusted net asset value. The adjusted net asset value at the end of Q1 was EUR52.23 and was 0.6% higher than at the year end of 2019. We do expect to revalue our portfolio as per June 30 and as in prior year, we will include approximately two-thirds of the portfolio via the 26 largest in most dynamic German cities plus Sweden plus Vienna. We continued to see meaningful value growth across all our regions except for Berlin where prices have been flat, which we attribute to the continuously high level of uncertainty in Berlin. Not only is the expropriation debates still alive, but also the rent freeze is in place, while it is still unclear when the Federal Constitutional Court will decide and exactly what the ruling will be and the role of professional listed property owners is unclear in Berlin at this point. Unsurprisingly, this is having an impact on the transaction market, which has been [all but dead]  With regards to COVID-19, the market that we’ve seen so far does not show any impact. We will continue to closely monitor the transaction market, but assuming that there will be no material impact from COVID-19 by the end of H1, we expect the fair value growth broadly in line with H1 last year. H1 2019 like-for-like growth was 8.4% in Germany, 3.4% in Sweden, and 3.8% for Vienna. To Page 13 and the LTV. Our LTV at the end of Q1 was 43.0% or 10 basis points below the end of 2019 and well within our target corridor. We continue to believe that the range between 40% and 45% is the right level for us, especially if you include the round about eight year duration of depth and the fact that 96% of our liability side is fixed ahead.  The net debt to EBITDA multiple was 11.8 times for Q1 2020, well, this is a bit elevated from the end of last year. We still think that a reasonable level especially if you consider for this number includes already the full deck but not the full EBITDA potential, which is normal in growing business. So we're not concerned.  Page 14 gives a bit more color on the capital structure and debt instruments. Interest cover ratio is now 5 times and thus very healthy above the minimum levels required in some of our debt instruments. Almost all debt is fixed or hedge so any interest rate increase would affect our numbers only slowly, as no more than 13% of the total debt become due in any given year, because of our smooth maturity profile.  You all saw the two bonds we issued a few weeks ago. Of course, that was that slightly elevated spreads then before corona, and even since spreads have come down a little bit. But for us, this is very important to further de-risk and to demonstrate the market of strong access to liquidity even in adverse market circumstances.  The impact on our average interest rate is in the second decimal. It gives us enough liquidity all the way until December, when you look to refinance the EUR750 million bonds that has a 1.625% coupon.  Page 15 is a page that we haven't shown for a long time. But given capital market turbulence in the wake of COVID-19 had some people worried about our covenants. We've moved this pace to into the main part of the presentation. However, as you can see, there's clearly nothing to worry about it. We are a long way away from all of the required levels. Page 16, in the same vein as for the covenants, we've added another page to demonstrate why we are very relaxed about our financial institution. First, we have ample liquidity. In addition to our stable cash flow that easily covers our operating business expenses, we also have to fund the recently raised from the bond market plus the EUR1 billion commercial paper program. Second, both the unsecured bond market and the secure financing market remain wide open for us. Third, our BBB plus rating from S&P and our A minus rating from Scope are very safe, each with a stable outlook. And finally, interest rates remain low. And it appears that financing conditions while elevated under corona has begun to improve again.  And with that back to Rolf.
Rolf Buch : Thank you, Helene. We have issued three releases, especially with regards of what COVID-19 means for our business. Let me update you on that we currently spent. Our rental and value-add segments are proving to be very robust. This is not a surprise. We see fluctuation going down, but demand remaining very strong. There is more than 5,000 inquiries every day. So far roughly only 1% of our tenants in Germany have contacted us because of COVID-19 financial hardships. And in each case we have found an amicable and pragmatic solution, to financial impact versus is in materials that importantly the upper end collection was in line with the months before corona and showed no meaningful increase in default ratio. It's just not a surprise. Even if somebody is coming into problems, this is more a timing issue than an issues that he cannot pay his rent because the security net in Germany is very safe. Nobody has to leave his apartment because he cannot afford rent. So the cash flow profile for this company is actually not long-term impacted by corona, it might be a affect from one month where the first tenants are not finding the right solutions to get the rent, but we can help them.  So there is no material impact for the cash flow. The balance between supply and demand stays actually stable because the death rate in Germany is very little. So all the underlying phenomena is still the same. Of course in corona we see some modernization projects which I experienced seeing delays because we have some more time, we are losing some time as a construction space. They expect to see small impact on our value-add business from our Craftsmen organization in this respect. In the recurring sales segment we continue to observe strong demand for our condo units, and we see the impact of adjusted EBITDA contribution will be small. While some notarizations, we'll shift to a later point in time. We do seize it our largely digital back office processes enable us to continue to run the business mostly as before. And finally development here we see some delays in project completions. Again, this is a construction path and part of what we have planned for 2020 will move into next year, offices is, but this is a purely timing effect, so a long impact offset 2020 adjusted EBITDA should be small.  Keep in mind that in our development business we have nearly no meaningful commercial development that's why this is purely residential development pipeline. All in all of we proud to seize it's scale and the depths of all operation gives us a relative advantage over smaller players and then able to continue operations it just fully digitalized is a very different interference from COVID-19. But obviously COVID-19 is much more than it means to the number. And this is Page 18. Innovate COVID-19 somewhat crystallizes the responsibility we have. The employee 10,000 people and own more than 400 a thousand departments that's about a 1 million people to call their homes. This home is probably more important for them right now than it was ever before. So COVID-19 stakeholder responsibility for us to a new level, and we have to be mainly focusing on three areas. First, our employers. We have implemented flexible working home office solutions and other initiatives to give our staff the flexibility they need in this difficult times. So those that cannot work from home, of course, has been a good tip is necessary protective year to make sure that they are safe. Second, the service and infrastructure for our customers. We run a mass operating business with thousands of touch points is existing and potential customers every single day. So it is crucial that we are able to continue to provide the best-in-class service. This also includes our ability to continue with our repair and maintenance services, which is fully operational. And finally, people are looking for new places to live and we are making sure that we can show them our apartments either in person or virtually. And third our customers. We are helping tenants in financial trouble and we have put rent increases on ice for now to help our customers through this different times. And while we continue to manage the COVID-19 crises for as long as it takes, we are also aware that as long-term mega-trend that housing markets faces are even more forceful because of corona. We cannot afford to slowdown in our efforts for new construction and energy-efficient modernization, CO2 reduction and preparing more apartment for the elderly. We're now on Page 19. So while corona will continue to dominate the headlines for a little bit longer, the efforts in frightening the pandemic and dealing with its consequences must not distract us from the long-term challenges and given opportunities. We drafted Page 19 before, corona, but everything on this page is relevant to current environment and we’ll continue to be relevant long after COVID-19 is history. So we have said many times before, this is the dominating mega trends in all markets. Urbanization to supply and demand imbalance, energy efficiency in CO2 reduction, and demographic change, which an aging population. Our building is both for managing this mega-trend and if we get right this will provide support for many, many years to come. The key success here is a capital reconciliation of stakeholder interest. Our product is not a commodity like any others. And while we run a for-profit business, this can only be successful in the long run, if it is through the benefit of all stakeholders. Similarly, we can only be part of solution and provide benefit to all of our stakeholders if we are economically successful. And that's why as a long and strong performance in all these areas of ESC. While we can always do better, I think it is fair to say that, we have been making good progress late in this front. Let's go to Page 20. Our 2019 sustainability report will be published at the end of this month, and it will be a good source of data to demonstrate our focus. Similarly, we have been stepping up our efforts and participating in various sustainability rankings to make sure that our achievements are actually reflected. I have to admit, we probably neglected to this point, and I personally neglected this point in the past. The recently appointed the sustainability Director who reports directly to me and among the main priorities for her are the further as the development of ESC strategy, including a roadmap and developing and step plan in compliance with the Paris Climate Accord and for achieving CO2 neutrality by 2050. We are looking forward to updating you as we go along, including the initiatives we serves towards energy efficiency that we have been conducting.  With this, to the guidance. 
Helene von Roeder: So on Page 21, you see a reiterated guidance for 2020 which is unchanged except for the organic rent growth line item. We took it down 20 basis points because of lower fluctuation and delayed completion of some of our investment projects. Both factors are down to corona and to be temporary. You will remember from last time that we provided the range, but this is actually pretty binary. If rents in Berlin must be reduced to 120% of the rent dealing in November and it looks like this at this point, we expects to come out at the low end of our rental growth guidance.  Similarly, in case rents are not reversed in Berlin, we expect to come out at the upper end. Everything else in the guidance is unchanged and concerns the confidence in our business even in this challenging environment.  With that, back to Rolf. 
Rolf Buch : Before we get to the Q&A, let me summarize the main points as you can see on Page 22. We had a good start into the new year. It should not be a surprise. Our business is borrowing in a good way and it remains predictable even under COVID-19. Helene just showed you the guidance nothing has really changed. COVID-19 really does not detect our top line and that's why not the stability of the business. We are living in highly unusual times. And here at Vonovia we feel a particular responsibility for our 10,000 employees and for our 1 million customers. Every single day we make sure we live up to their responsibility. And finally, I want to emphasize again that why COVID-19 is the number one priority right now. The long-term mega trends remain. Managing them successfully is more important than ever. And Vonovia will be sure to continue as a leader in finding solutions to the benefit of all stakeholders.  Back to Rene.
Rene Hoffmann : Thanks, and I will pass it directly to Alexandra to kindly open the Q&A for us please. 
Operator: The first question is from Chris Fremantle of Morgan Stanley. Your line is now open.
Chris Fremantle: I just have a small question on the rental growth. Appreciate the guidance that you've given for 2020. You've talked also about in previous occasions, you've talked about the lag between modernization spend and the impact that spends on rental growth coming through in future years. So my question would be, how much of an impact will the delays your hinting at here affect your, the organic rental growth for 2021? Any help you can give us on all the quantum of that that impact would be helpful, I think. Thank you.
Helene von Roeder: So Chris, the way we look at it is like the key impact is that we couldn't get construction workers onto our construction sites. In Austria, especially there were few weeks where the construction stage was closed because people couldn't adhere to the health requirements. So it's really all about how long was the lockdown, and how quickly can we get the construction heads up -- back up again, but it's not really that meaningful. 
Chris Fremantle: So we could be talking 10s of basis points, again, for an impact or something more than that?
Helene von Roeder: I could give you numbers, I'm really thinking more than months. So we have seven weeks of lockdown. So it's like two months, two and a half months that's what I'm doing right now sort of like estimating.
Operator: The next question is from Jonathan Kownator of Goldman Sachs. Your line is now open.
Jonathan Kownator: Two questions, if I may. So, the first question, perhaps, and saying line as Chris. I just wanted to understand currently you're saying that you are not increasing rents for your tenants in the COVID environment, it's obviously very sensible. Can you help us understand also, if you expect that will have an impact in 2021? And for how long you would expect that to be flaked? So that's the first question. The second question is 
Rolf Buch: Can we do question-by-question? Because and I don't forget question. So, probably the first question to answer, so the German law gives us a timeframe. The German law says that until June, the rent can be postponed, so six months, three months from the law. So this means I think it's fair to say we are not declared in publicly, but it is fair to say that this also gets corridor how long we do not send out events in case letter. Later the year we will definitely send out of the rent increase letters  So we are losing probably some rent increase for a very small period of time, that's why it's not meaningful. To not send out rent increase letters, six year that in a moment that people are hot and panic because of COVID, you should not add a rent increase letter on top of it. And you're not saying that we're not stopping rent increase, we'll continue to do and it is because it's our right to get it and it's fair and it's modest. And this is the same for modernization. So we're just doing it a little bit later. So in the like-for-like and increase at the end of the year, it will not have an impact.
Jonathan Kownator: The second question is really more longer term and appreciate it is very early to say that one of the key trends you're highlighting of the super strength is urbanization, and appreciating the very large cities and sometimes smaller cities, the question may be different for one or the other. But how do you think about urbanization in the COVID environment? I mean, you're obviously peasant sentiment here. But are we take organizations? Or do you think people in Germany would twice about coming to cities and would perhaps try to work more remote and going forward to commute? 
Rolf Buch: I think we are not talking here about in New York. I mean, in Germany, we don't have cities like New York. So these really mega cities. So we have bigger cities is also what we call cities is also the urban environment, around the cities. So this is and there I think there is no reason why people should not live there. And especially keep in mind that medical treatment, which is probably showing for the people just isn't that important as in Germany is good in it. But of course, Germany is good in it in the big cities and not in the outside, it's a big city.  So there must be arguments saying if you're closer to a better American hospitalization, the city is better. We also don't see that as a hotspot for COVID-19 unnecessarily in the cities. So the hotspot was which was in the media, I don't have a detailed analysis it was actually small towns outside of big city Heinsberg for example or be a poorly town in South Korea. So there's no indications that COVID-19 is more in the big cities. But, I think the main events which pushes the people in the cities are beyond COVID-19. I've always talked about it. See, young people wants to live in an environment and if you will talk, and again, using my daughter, she is getting sad this is the situation that she has to sit together with parents [Indiscernible] I can tell you she will moving in the city network. Thinking about old people, I think medical treatment is an very strong argument that the will gets stronger and weaker. And then the double income people with valid education for them actually they have no chance, but they have to live in the big city. So, the fundamentals of urbanization stays the same at least in Germany. I'm not talking about mega-cities like Mumbai or Bejing or whatever, but in the German urbanization trend, I don't see any change. And finally, if there is a change, we have so big luck in supply in these big cities change must be really massive to change the parameter for our business. 
Jonathan Kownator: Fair enough. I have 1 last question. At the federal level, how do you see the current situation impacting the debate for politicians around what to do with housing, i.e. more regulations or more development, whatever it can be. Have you sense any change in the regulations debate due to COVID-19 at this stage?
Rolf Buch: No. I think the only action on COVID-19 was typically through things actually the whole German government reacted to COVID-19 up to now, which I think was a good reaction up to now, and was to ease the access to people to social welfare for housing. So they was massive easing and because you know there was one which actually not well protected by welfare, which is the self-employed people with high salary. So an engineer, an artist and because of the COVID-19, they lost their salaries immediately. So from a good salary to zero, and these people have not experienced of asking for welfare and I think there was low process, which I actually a big part of the 1% of product by the way. And because they just don't know how to get to the system, and I think this system was ease so the access as much simpler. And so, as these people were trying to easier access for a temporary help for to pay their rent. So, this is how Germany actually reacted. I think the debate which we have now and which I am pushing is that, it is will definitely be look at massive public money into the system to rebuild the country, and I think Germany can also thought it. So they spend a lot of billions of money, not only to save us but to rebuild it. And we have to make sure that this money goes into the right directions. So to be very clear, it is important to purchase money and environmental sustainable investments and not in conserving the old ones. So, in my industry we should not get subsidies for new oil heating systems, but we should get subsidies for more innovative heating systems, which are coming from the renewables. That's why I think we as Vonovia, we have started before COVID-19 to invest in research and building up this new heating system, I have the expectations that we will get help in this and of course, you're pushing causes, because I personally think that in a few months from now, politician will stand up and decide where we can spend money and I think then the solutions has to be there. And I think we as an industry, we have to print to solutions through the tables if they can pick it and say this is good because this is sustainable.
Jonathan Kownator: Okay, thanks. Very interesting. So just to confirm, increase debate from the politicians about perhaps capping rent more federal level.
Rolf Buch: No, this doesn't make sense at all moment. The rent kept discussion which is still in Berlin, unfortunately to corona, they're still not obstructing non-control target in front of the court in Karlsruhe, which is a little bit surprising, but I was told that it will come soon. So, I expected coming in this month. But there is of course, a small delay. That’s why I think Helene said that this is we have to take delays most probably that's an introduction in November that really take place because it's now very short to November. But we also see that in all the rest of the country, and I think everybody is looking on what happens in Berlin is they're looking at all at rent regulations at the moment because they are very busy rightfully with COVID-19.
Operator: The next question is from Kai Klose of Berenberg. Your line is now open.
Kai Klose: I have got two quick questions. The first one is on Page 6 and regarding the profitability and the merger on emerging the operational for Hembla and Victoria Park. Could you indicate which periods you expect these versions to be merged? I would expect for the full year for this year, but in a more precise? And second question would be on Page 6 regarding the splits of organic rent growth. You have a 60 bps from the new construction of the 20 bps before? Could you just indicate on how many newly built units this refers to? Yes, it would be my first question.
Rolf Buch: So I think for the first question is relatively easy. We’re planning in the moment to get the systems integrated in the end of the year 2020. For this of course, it would be most ideal and to be able to travel from Stockholm to Malmo because the Victoria Park team in Malmo and Hembla team is in Stockholm. So in the moment, we don't know what happens in Sweden. If there will be a lockdown and see a fully complete lockdown in Sweden after summer, this might lead to a smaller to a later module systems, which is of course for the EBITDA 2020 not meaningful at all. And we don't see any fundamentals. This is just a delay. But I think we just see the whole year is due to COVID-19 we see some delay but no change in the fundamentals.
Helene von Roeder: And then looking at the second question, this is sort of like how many apartments does the 0.6 rent increase related to. So ultimately, given us a year-on-year number, it is the 122 apartments we mentioned on Page 11, plus those apartments that you've constructed over the preceding nine months, and right now we're just looking at each other. We don't have that number at hand and we'll deliver it later. 
Operator: The next question is from Thomas Neuhold of Kepler Cheuvreux. You line is now open.
Thomas Neuhold: Thank you very much for taking my questions. I have two questions. The first one is on this 1% of tenant’s quantity due for COVID-19 hardship. What are pragmatic solutions, does it mean that they rent payments and postpone? Or value is also granting rent reductions in some cases? Can you give us some clarity on this?
Rolf Buch: Keep in mind, we have sent a letter to all our tenants telling them that we are available for discussion if they have problems. So that's why I think you have to take all sorts of unprecedented perspectives because we sent them a letter. It was not them contacting us first. I think a lot of them just wanted to know what happens. A lot of them was actually in the group of people I mentioned which are not experienced with social welfare. So the help is just telling them how they can get to social welfare. And a few of them really financial problems is also escalated to the fuse commercial business which we have in our business, which is not meaningful. But yes, of course a potential supplier. And this might be as a solution of they pays the rent later, after three months, they pay in installment of the next 10 months, 12 months. But this has not a standard format. But it is not -- it doesn't make any difference in our business. Its a small percentage of 1% which really have real problems.
Thomas Neuhold: Okay. And the second question is on your --
Rolf Buch: I think the 1% is a different signal, which I think is also important for you. And that's why we are mentioning it as opposed to politicians. Because the politician can see that’s a social welfare net in Germany is pretty stable because otherwise the percentages would be higher.
Thomas Neuhold: Okay. The second question is on the developmental sales pipelines, I notice that it is up roughly 400 million, compared to the end of last year. So, the increase is roughly 10% in value, I would say the number of departments increase by roughly 20%. Can you provide some more details on the new projects you added here to the pipeline which seemed to have lower selling price and then the rest of the portfolio?
Helene von Roeder: So, predominantly the effect is driven by the acquisition of Bien-Ries. Remember, we announced it in the last call. And then on top of that, we have been buying a few additional small slots, which also included developmental of sales.
Operator: As there are no further questions, I hand back to the speakers.
Rene Hoffmann: Thank you, Alexandra. And thanks everybody else for joining. As a reminder, our H1 2020 results will come out on August 5, until then we'll be engaging quite a bit. Obviously virtually for the time being. And our financial calendar and Page 50 of today's presentation shows our planned activities and the most up-to-date version of it is always online on our IR website. As always, feel free to reach out to me or the team with any questions or comments you may have. We're looking very much forward to staying in touch. That's it from us for today. Have a great day everyone and stay healthy.